Operator: Good morning, ladies and gentlemen, and welcome to the presentation of Enagás results for the first 9 months of fiscal 2021. The results were disclosed this morning before the opening bell and are available in our website at www.enagas.es.  Mr. Antonio Llarden, Chairman of Enagás, will host this presentation. We expect this presentation through webcast to last about half an hour. Next, there will be a Q&A session during which we will endeavor to answer any questions as good as possible.  Thank you for your attention. I now give the floor to Mr. Antonio Llarden.
Antonio Llarden: Good morning, ladies and gentlemen, and thank you for your attention. I'm joined on this online conference call by the Chief Executive Officer, Marcelino Oreja; the Chief Financial Officer, Borja García-Alarcón; the Director of Management Control, Natalia Mora-Gil; the General Secretary, Rafael Piqueras; the Deputy Secretary, Diego Trillo; and from the Investors Relations team, the Directors Antonio [indiscernible], Cesar Garcia Del Rio; on the Communications and Public Affairs General Manager, Felisa Martin.  As the energy sector is very topical nowadays, we'll open this conference call by explaining what we are doing at Enagás in this scenario. We are at a time of extremely high demand for natural gas worldwide as a result of the economic recovery following the pandemic, to some extent, and also as a result of huge volatility in gas markets.  As an infrastructure company, and operator of the Spanish gas system, our main mission is to keep gas infrastructures ready at all times providing full availability that is at 100%, and that is exactly what we are doing. Working in permanent coordination with the Ministry for Ecological Transition and Demographic Challenge, we are carrying out all the preventive actions within our control to contribute to the security of gas supply.  First off, and with the aim of making the maximum possible capacity available to the shippers that bring natural gas to Spain, we have successfully carried out two extraordinary capacity auctions at Spanish regasification plants: first, the one held in September and the other one held in October recently. And a total of 45 slots have already been allocated or what we call capacity windows for LNG off-loading. Such slots are coupled with those that have been planned initially for the next 12 months.  As for the winter period, which runs from November to March, and through the extraordinary auctions, 136 slots have already been allocated. And to give you an idea for comparison purposes, last winter, 86 ships off-loaded at Spanish plants. This means that for this winter season, we have foreseen off-loading in excess of 50 more ships. So these extraordinary auctions are an additional measure of both prudence and prevention. In October -- throughout October, LNG tanks were contracted and 100% of the capacity available for that purpose.  In addition, during the month, more gas continue to be injected into underground storage facilities, which are key to strategic gas storage and whose capacity currently stands at around 75%. In addition, the winter action plan, which was updated last September, also in coordination with the Ministry of Energy Transition and CMC, includes another set of additional measures for this coming winter, more technical measures that I'm not going to elaborate on in this conference. We are doing everything in our power from a technical perspective, adopting all possible measures to contribute to securing supply.  As you know, Enagás cannot buy or sell gas, therefore making sure that gas rich in Spain is a supplier's responsibility. In October, suppliers are also making a significant effort in this regard, and they will continue to do so in the coming months.  The results for the first 9 months of the year have been very positive taking into account Enagás' financial statements and are on track to meet all the targets set for fiscal year 2021, all targets. Specifically, you have all such documentation available.  Net income at 30th of September amounted to EUR 307.3 million, a figure that is in line to meet our annual target, fully in line with that target. As we already mentioned in our prior results presentation in July 3 months ago, we have been able to cushion the impact that the regulatory forum that came into force in early 2021 in January has had on our regulated revenues. And this has been possible thanks to the good performance of our affiliates, which have contributed EUR 144 million to our cash flow and 40.1% to net profit already.  Second, and I would also like to underscore this, we continue working to be more efficient every day. Our operating expenses have been cut by 2.5%. And finally, thirdly, we have improved once again our finance cost, which is down to 1.7% compared to 1.9% at the end of 2020.  I would also like to emphasize our strong cash generation and debt ratio evolution, which are also in line with our year-end forecasts. And secondly, we keep a sound financial position and a high liquidity position that at September 30 amounted to EUR 2,953 million. In short, the company's performance in the first 9 months of the year has been very positive, and reaching the third quarter with these results is certainly good news, especially in a year when the stock markets and the energy sector, in particular, are going through some ups and downs due to the reasons that are well known to all of us.  So during these 9 months of fiscal 2021, Enagás gas infrastructures as a whole in Spain have provided a maximum level of availability. In terms of utilization, gas demand has shown a positive trend so far this year. Total demand for natural gas in Spain increased over the past 9 months by 2.7%, and this was mainly due to conventional demand, which includes both households and the manufacturing sector and which accounts for around 78% of total demand in Spain. This conventional demand has grown by 9% compared to the same period in 2020. This positive trend highlights the essential role of gas infrastructures in contributing both to energy supply and to achieving the European decarbonization targets.  Regarding our international business, we foresee a robust economic growth in the coming years in the countries where we operate. Our international affiliates have performed very well in the first 3 quarters of the year. Their profit stood at 38.8%, and that was above the same period of 2020. And as I said, they contributed EUR 144 million to our cash flow.  So very quickly, I would like to refer to some highlights. As for Trans Adriatic Pipeline, there are three milestones. First off, TAP operated with 100% operational availability, and during September, it delivered already 5 billion cubic meters of gas to Europe. That is 5 bcm. Second, TAP currently carries 17% of the gas consumed by Greece and up to 10% of the gas consumed by Italy and is helping to contain gas prices in both countries.  In the case of Italy, TAP is making a significant contribution to ending the historical overpricing of the Italian market PSV compared to the European or Dutch benchmark TTF. And finally, the third point, TAP has received the Gastech prize, the Gas, LNG or Hydrogen Project of the Year. This is the industry's largest international conference held last month in Dubai.  With regards to Tallgrass Energy, our affiliate in the United States, it continues to perform very positively, delivering some results, and signed in some very important commercial initiatives. Let me provide you with an example. The 12.5-year natural gas transportation contract that the Rockies Express Pipeline has executed with U.S. natural gas producer, EQT Corporation.  Tallgrass is also making progress developing decarbonization projects in the North American market. And I would like to throw some light at this because perhaps this is new to all of you. During this third quarter, it has closed the acquisition of a 75% stake in Escalante H2 Power, which is now developing a pioneering project to convert an old coal-fired power plant into the hydrogen generation plant in New Mexico in the United States.  Also, Tallgrass has entered into an agreement with Project Canary for the emissions detection, monitoring and certification that will make the Rockies Express Pipeline the first interstate pipeline in the United States to obtain a comprehensive independent environmental assessment while providing carbon-neutral differential service to its customers.  And in addition, Tallgrass has received federal funding from the U.S. Department of Energy's National Energy Technology Laboratory to reduce the cost and accelerate advances in clean hydrogen technologies. You have further detailed information on this matter in the documentation made available to you. At the same, we will keep you updated about the progress made by Tallgrass in these decarbonization projects.  The rest of our international affiliates have also reported very good results, and they are all actively contributing to decarbonization through their infrastructures in various parts of the world. In Mexico, TLA has signed a storage and regasification contract with the Federal Electricity Commission for their terminal's 100% capacity for the next 10 years.  In Chile and together with the companies GNL Quintero and Acciona, we have submitted the so-called Green Hydrogen Bahía Quintero project to the tender organized by Corporación de Fomento de la Producción, CORFO, for funding purposes. So this will be the first large-scale project for the production of green hydrogen in Central Chile. As you know, this is the most populated region in the country.  And in closing, in Italy, today, the small-scale LNG terminal in Ravenna is being inaugurated. We participate through Scale Gas, an Enagás Emprende startup. In this project, you know that this terminal stores liquefied natural gas that is carried to Ravenna and that will be used to provide -- to replace highly polluting fuel. Basically, we are talking about 58 ferries that will run through the Ravenna port of more than 10,000 or 12,000 high-volume or high-tonnage trucks that travel all over Europe.  Like every quarter, I will now provide you with an update on Gasoducto Sur Peruano. We don't have news on this matter. The arbitration procedure is developing according to the established calendar in place. And therefore, well, at Enagás, we continue at the disposal of the Peruvian State to reach an amicable agreement.  Now talking about environmental, social and governance criteria, ESG. They are the general framework for undertaking our activity. And as an energy company, we have one key commitment: to contribute to the decarbonization process actively. As you know, we have already reduced our own carbon footprint by 63% since 2014. We are certain that we will achieve our goal of being a carbon-neutral company by 2040. And we have some projects that may actually indicate that we can achieve that goal even earlier.  We're also working very actively on reducing methane emissions. We have joined a methane emissions reduction initiative led by the United Nations Environment Programme, UNEP, in consultation with the European Commission, and we expect to officially receive the highest rating, gold standard, in the coming days. In addition, together with the European Gas Research Group, we are leading a project involving 14 gas infrastructure operators and European associations in the sector that will promote the use of new technologies to quantify and reduce methane emissions in midstream infrastructures.  For all these reasons, we are positioned among the world's leading companies in climate action, and we continue leading certain sustainability indices and rankings. A few months ago, for example, the Financial Times included us in their list of European climate leaders. Specifically, regarding climate action, I believe that right now, we are the only company in the world in our sector included on their CDP Climate Change A List. Well, more details on all these acknowledgments can be found in the presentation.  As an infrastructure company, we also contribute to global decarbonization by developing renewable gases, hydrogen and biomethane as a complementary electrification, which will be essential to achieving the European goals in place.  Some examples of relevant developments during the last 3 months or the last quarter, we could mention the following: well, within the framework of the Power to Green Hydrogen Mallorca project and the construction of the first renewable hydrogen plant in Spain, one of the two photovoltaic plants that will power it in Lloseta is now being built.  Another important milestone of this project is that 1 week ago, we also signed with the Iberostar Hotel Group, their first agreement for the supply of green hydrogen in the tourism sector in Spain. In addition, a few days ago, this project was awarded a 2021 innovation prize by the specialized business newspaper Cinco Días. And I believe yesterday, the Chairperson of the European Commission, Ursula von der Leyen, said or mentioned specifically this project.  Another example has to do with a cutting-edge project on renewable hydrogen production by photoelectrocatalysis that we are developing jointly with Repsol and which was granted financial support from the European Commission's Innovation Fund that will be allotted to build a demo plant at the Puertollano Industrial Complex in Spain, and that could be commissioned in 2024.  In September, we also joined forces with Naturgy and Exolum to develop the first major green hydrogen partnership for mobility in Spain that might involve the construction of 50 hydrogen plants. With regard to biomethane, the six projects in which Enagás Renovable is involved have received support from the Institute for Energy Diversification and Savings, IDAE. And we have just signed a protocol with the Valencian regional government to promote the production of biogas and biomethane from rice straw reclaimed from the Albufeira area and Valencia, one of the most important rice-producing regions in Spain. The expected annual biomass reduction would be equivalent to over 15% of natural gas consumption in the city of the Valencia.  These are a few examples of 55 hydrogen and biomethane projects we are promoting throughout Spain together with more than 60 partners, and that could eventually account for a total joint investment of more than EUR 6.3 billion should all such projects be materialized.  And before closing, I would like to stress that the results we are presenting today are totally in line to deliver a net profit of around EUR 380 million estimated for this fiscal year as well as all other targets set. Our strong cash generation will enable us to reduce net debt while continuing to maintain an optimal balance sheet structure. We have no significant debt maturities in 2021, and we have, as you have seen, an excellent liquidity position.  I will now finish by drawing five quick conclusions. First of all, today, we are presenting very good results for the company, mainly thanks to the positive performance of all of our affiliates and our efficiency efforts. With regards to the company's operation and finance cost, in a context of high volatility in global energy markets, we should recall that our core mission or activity as an infrastructure company is to have all such infrastructure ready and running at all times.  As a gas network operator, especially in the current backdrop, our objective is to ensure that suppliers have as much LNG off-loading capacity as possible. Enagás is securing this capacity, and the suppliers that have the contracts in place are committing to this capacity, and we are confident that they will continue to do so in the coming months.  We are also 100% committed to decarbonization. This is conclusion number three. That's why we continue putting all our know-how and expertise into hydrogen and biomethane projects, these projects being sound and transformational, and that should contribute to a just transition to making Spain's manufacturing sector more competitive and sustainable while creating jobs.  Today, more than ever, it is clear that natural gas is essential to the ecological transition and decarbonization. Therefore, the climate agenda and taxonomy should take the role of natural gas into consideration.  Finally, we keep our strong commitment to our shareholders and their remuneration. The sound cash flow generation expected in the 2021-2026 period ensures the commitment of our dividend policy.  Thank you for your attention, and now please feel free to ask any questions you may have as usual. We will endeavor to answer them as fully as we can. Thank you very much, and have a very good day.
Operator: [Operator Instructions]. The first question comes from Javier Suarez from Mediobanca.
Javier Suarez: Yes. Good morning to everybody, and thank you for that presentation. I have three questions. First of all is related to the guidance of the company. The company has mentioned the figure of EUR 380 million of net income. And I would like to know whether you don't think this is rather conservative after looking at the annual results. I think that EUR 380 million, this figure could be a little bit conservative in my view.  And the second question is with regards the dialogue with the different administrations. And I would like to know whether there is any contact with the new administration in Peru and if you could give us any feedback about the tone of those initial conversations and also with the Spanish administration within a situation of general cost increases. And there's this dialogue, which has been opened up regarding -- including inflation into its regulatory formula.  And the third question is about the contribution of consolidated companies, EUR 160 million. And if you could mention the most important companies, I would like to know about the contribution, in particular, of Tallgrass and TAP. And with regards to the assets, we've read in the press about the possibility that the company could consider some asset turnover in Latin America. If you could perhaps -- or are you talking about updating your policy when talking about this asset turnover?
Antonio Llarden: Thank you, Javier Suarez. In the guidance, well, normally, it's true that we are prudent when it comes to making changes over the year because I don't think this helps to guide investors. Right now, it's a time of great volatility. We think that our accounts -- well, things are going well. And we are cautious because the fourth quarter, historically speaking, in all companies, is a quarter which can sometimes see functioning costs -- functional costs appearing, and we don't normally modify our forecasts.  Although, of course, what we have seen is that we are going or heading in a very good direction. With regards to administration in Peru, besides the political declarations that we hear every day, what has happened is that an interministerial commission has been opened in Peru to look at, for the first time, the need to make better use of natural gas in that country and to take it specifically to the southern areas, which do not have gas right now.  Well, this is a process that has been started. It will last a certain amount of time, but we see this as positive. And with regards to Spanish administration, I would say that -- well, just like the Jesuits would say, well, when it's time -- when we're looking at convulsive times, you shouldn't move house. Well, I think we're talking about a stable relationship until 2026, and this gives us an advantage. If we look at the interest rates, if they go up because of inflation, then in the next regulations, they would be applied.  And right now, we don't feel this to be a very complicated issue for us. Apart from the specific impact of inflation on accounts in Spain is very small, and as you know, it's protected. So if I'm honest, right now, this is not an issue that worries us.  With regards the affiliates, I'm going to give the floor to the CEO, who can talk about these different affiliates.
Marcelino Oreja: Yes, thank you, Chair and Javier for the question. If you look at the international affiliates in T-A-P, for example, TAP, they contribute EUR 36 million; Tallgrass, EUR 24 million; and Quintero, EUR 24 million.  And with regards to assets turnover, we announced in our presentation of the results around 7 months ago that we were looking at possible mature assets that could be attractive in the market. Well, the market examines them. And for the moment, there is nothing to report. But if there is in the future, then obviously, we will make public that information.  In any case, this follows on from the work done in the company already. And we execute these tasks without any hurry. Let's say, we do it slowly but surely.
Operator: The next question comes from Alberto Gandolfi from Goldman Sachs.
Alberto Gandolfi: I have three questions. First of all, about profit. You've answered Javier already. But my question would be, well, I've been looking at the last quarter 2018, 2019 and 2020 add EUR 100 million net income. We saw that in 2018, '19 -- in 2019, and the EUR 90 million in -- well, EUR 95 million in the fourth quarter of 2020. So why, for the fourth quarter of this year, would you expect to have less than EUR 90 million? Your guidance is talking about EUR 73 million in [indiscernible]. And so the fourth quarter is being weighted heavily, or nothing is worsening, and we're just -- will change, we'll see a change in the guidance when the reporting moment comes for the fourth quarter.  The second question is about Tallgrass. Could you give us more details about what is happening regarding the signing of contracts? We've seen an important contract that has been signed, but in 2020, we saw a drop in spot prices and in volumes, and there was a bit of reluctance to sign new contracts although there's high prices and strong demand. So could you explain the rate of reconstructing? What's happening above all regarding last year, which seemed to be a normal year? And the EUR 6 billion in projects that you've shown on the slides, could you explain how much would, in theory, be the part just for Enagás? So after the adjustment, for all of the stakes.
Antonio Llarden: Alberto Gandolfi, there's, of course, no specific problem for the fourth quarter, nothing worries us. We're going to do what we do every year. In the fourth quarter, we will modify the guidance if that is necessary with the reality, reflecting the reality of the situation. We're an infrastructures company. We know that in the fourth quarter, we can see certain costs, sometimes higher than what's expected, but we don't have any special concerns in that area. So in 3 months' time, we will be able to give the definitive result without any problems, no doubt. With regards to the Tallgrass contract, I'll give the floor to the CEO, Marcelino.
Marcelino Oreja: Yes. Thank you to the Chair and Alberto for that question. Indeed, the situation of Tallgrass is getting better due to the growth in demand and the number of contracts and the increase in gas and oil prices. Right now, in oil products, it's almost at maximum nominal capacity, 390,000, and we're heading to reach 400,000.  And if we talk about gas from East to West well, more and more is being contracted. And we have the EQT contract. This involves an increase. We have a 12.5-year contract with one of the special gas producers in the basins affected by Tallgrass. And the contracts are growing from East to West and from West to East.  Therefore, we trust that the Tallgrass result will be at the top end of the forecast in the guidance and that, in 2022, we will continue to contract gas and oil above the initial forecasts.
Antonio Llarden: Thank you very much to the CEO. And lastly, with regard to the EUR 6 billion in green projects, right now is rather risky to give a prognosis for Enagás because it will depend on which projects -- well, to be more precise, what the criteria used by the EU and the Spanish government -- what criteria are used for green hydrogen or for biomethane that you consider most necessary for each country.  We are convinced that most, if not all our projects, are really driving projects. They are motor projects. We bring together different partners, and even the ultimate partners that be interested in consuming this green hydrogen or this biomethane, well, we'll have to wait. We had thought that after the summer, we would have or we would see the publication of the rules for the definitive presentation of the project.  The latest news that we have is that this will be decided by the government before the end of the year. I would prefer to wait for that moment before trying to evaluate the situation in more precise terms. In my point of view, in technical terms, we are very well prepared technologically speaking. And we are seeing that other companies are turning to us expressing interest in this kind of projects, and they would like to do these projects with us due to our technological ability and our interest.  So for each project, we have different partners and stakes. So we will have to wait and see which projects are chosen by the EU as these are driving projects, and then we will be able to guide the market, not just for investment but also in terms of the time lines, which is also very important.  And right now, if I'm honest, it would be rather meaningless to talk about time lines or figures. I don't know whether we have to wait 6 months perhaps. But I am almost convinced that throughout 2022 or before the end of 2022, we and the rest of the sector will have very clear guidance regarding the projects that will be started very soon, which ones will be left for the second round.  And obviously, we have the state budget in Spain, which already allows for certain amounts of these projects. And at a later date, we'll be able to give further information.
Operator: The next question comes from Manuel Palomo from BNP Paribas.
Manuel Palomo: Some of my questions have already been answered. So I'm going to just ask about the possible sale of affiliates. First of all, I'd like to know the rationale behind these sales. If they represent 40% of net income, I would like to understand the reasons for these sales and also if there are any assets in particular, which would be the target for such sales. And here, I'm referring to countries where you maybe want to leave? And lastly, in the case that any sales are made, what would be the use of the funds, perhaps to invest in green hydrogen projects that you mentioned or maybe to give a special dividend? I mean, what's the -- what would be the idea for the use of those funds?
Antonio Llarden: Thank you to Manuel Palomo. Well, let's see. It's not that we are selling or turning over our international assets. No, it's just that when we see that there seems to be no greater growth than what we've been working with. And therefore, the industrial role that we perform when we feel that it has become stabilized, that's when we might study whether the markets value this positively and carry out this turnover without any obligation in legal terms or of any other kind.  And the use of funds, obviously, that would be for projects. I mean the idea of the company that you are familiar with or will be able to learn about, well, this would be linked to the growth of the company. That would be the idea. I would insist on saying that this has been established over the last 2 years as a natural policy for the company to do this on a regular basis and an ongoing basis.  And obviously, to link this to opposite -- sorry, opportunities for growth and the turnover of assets, they don't necessarily coincide on the same day, but we have all of these things in mind.
Operator: There are no other questions in the Spanish room. We will now hear from any questions in the English room. [Operator Instructions]. Our first question today comes from Harry Wyburd of Bank of America.
Harry Wyburd: Most of mine have been asked already. So I just got one very high-level one. I guess, given the gas crisis that's going on in Europe, there's been a renewed focus on, I guess, preserving the gas infrastructure and making sure that, that's there while the transition's ongoing. And I guess you've exposed some weaknesses in the system.  You mentioned your availability is sort of guaranteed over the winter. But are there any opportunities you think that you can gain from this crisis? Are there areas where there are bottlenecks in the system, which could require more investment or potential assets, which you think may now have a longer useful life than they have been previously thought as a result of this? So just trying to get a flavor as to whether you think in the long run, this could be an investment positive event, the gas crisis, for Enagás.
Antonio Llarden: Thank you very much for that question. What's being observed in the gas sector with the current situation, particularly in Europe, is very clear. In the decarbonization process in which not just the EU is committed but most countries around the world, and we'll see this, no doubt, in the COP26 in Glasgow, particularly the bigger countries, the gas infrastructures are fundamental.  Right now in Spain and throughout Europe in general, what is being shown is that there may be high demand at a time when due to cold weather, political issues, productive issues and COVID. Well, demand is very high. It shot up in Europe but around the world. And in Spain, what we're doing, I think, is a good example of what can be done. We have an infrastructure, which has been based on a complementary approach of different systems.  We have gas pipelines of high pressure, and we have regasification plants, and we have gas pipelines inside the Iberian Peninsula, Spain and Portugal, which are crisscross network, let's say, so there are many different routes possible. So when we see that there may be tension between supply and demand, we -- incentive the arrival of LNG ships to our off-loading areas. And this means that Spain can offer this complementary aspect.  In the winter plan, we had forecast initially for Spain the arrival of a total over the year of 300 ships. Well, with the measures that we've taken, we have increased that by a further 50. And these are just for the winter period. So these infrastructures are open to take gas coming from different places in order to ensure the security of supply. And from that point of view, we don't need to make any further investments.  And what we are doing is our work, our task with the existing infrastructures. What we do is to make them available to all of the suppliers so that they can have sufficient gas. They know it's going to arrive, they can off-load it. They can regasify, and they can store it in the storage facility, and in short, it will get to the end client.  And there's another derivative that arises from this. And I think that what's happening around the world is going to lead us to reflect upon this in many countries and in the EU. And I've also mentioned this or touched upon this in my speech. The fact that we think it's clear that the decarbonization process and the objectives we have within the Green Deal for 2050 and in Europe will only be achieved if natural gas plays an important role as a kind of bridging element as part of the transitional process. It's going to help us to ensure transition to a more renewable energy system and to eliminate more polluting energy sources such as coal. I think that role is very clear. And the crisis that we've seen in the market or in the markets has just highlighted this, I think.  And second point is that, well, Harry, I think we may see investments at the start of this green transition towards green hydrogen, towards biomethane in which the European Commission -- well, they practically said it -- they have detected that the best way to transport is via the gas transport system.  So for the medium and long term, if we talk about hydrogen and biomethane, it's going to be fundamentally using existing infrastructures and that, together with new investments, and we mentioned the hydrogen and biomethane projects in response to the previous question. So in the short term, we are carrying out our work to ensure maximum flexibility in our infrastructures, receiving gas from any place.  And in the medium term, I wouldn't say whether it's 2 or 3 years, whether it's 1 or 5 years, but we will see the start of different complementary projects for decarbonization, which will lead us to invest more in an area in which we wouldn't have been thinking about maybe 5, 6 years ago. And I would say that we -- over the course of 1, 2 years, we will have a deadline or a time line schedule for the investment of the company in these new projects.  We and the rest of the TSOs in Europe -- this isn't specific to Enagás, no doubt other companies as well. But I think it's clear that the transmission system operators in Europe or at least the largest ones we have the vocation of being present. And at the same time, we are starting to be recognized by the authorities, I think. And we have the ability to play this role and the interest in investing and being involved.  And I must finish by saying that there are some large investors who have -- who contact us regularly to say, hey, are you going to do these kind of projects? Can we work together with you? And we always answer by saying that when the projects are fully defined, why not? We'll be delighted to. That would be my answer. 
Antonio Llarden: Thank you very much for your attention, ladies and gentlemen. If you have any other questions, we'll be very pleased to help you and answer any additional questions at a later time. Thank you very much.